Operator: Welcome to TTEC's Fourth Quarter and Full Year 2020 Earnings Conference Call. I’d like to remind all parties that you will be in a listen-only mode until the question-and-answer session. This call is being recorded at the request of TTEC. I would now like to turn the call over to Paul Miller, TTEC's Senior Vice President, Treasurer and Investor Relations Officer. Thank you, sir. You may now begin.
Paul Miller: Good morning and thank you for joining us today. TTEC is hosting this call to discuss its fourth quarter and full year financial results for the period ending December 31, 2020. Participating in today's call are Ken Tuchman, our Chairman and Chief Executive Officer; and Regina Paolillo, our Chief Financial and Administrative Officer. Yesterday, TTEC issued a press release announcing its financial results. While this call will reflect items discussed within the press release, for additional information about our financial performance, we also encourage you to read our 2020 annual report on Form 10-K. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinion as of the date of this call, and we undertake no obligation to revise this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our 2020 annual report on Form 10-K. Our comments today will also include certain statements related to our financials, which are on a non-GAAP basis. A replay of this conference call will be available on our website under the Investor Relations section. I will now turn the call over to Ken Tuchman, TTEC's Chairman and Chief Executive Officer. Ken?
Ken Tuchman: Thanks, Paul, and good morning to everyone. 2020 was a breakthrough year for TTEC. We set aggressive, operational and financial objective and dramatically exceeded them all. Like every business across the globe, we faced a once-in-a-century challenge, as the world lost mobility, consumers shifted to virtual interactions and workers shifted to virtual productivity. Across the globe, people quickly accepted virtual as their new reality and embrace the new way of life, most of which is here to stay. In the midst of this massive digital migration, our clients depended on us for the technology and digitally-enabled services. They need to meet their rising customer demands. We digested what we felt like 10 years of digital transformation in 10 months. Our systems and operations were tested and succeeded. Our teams worked around the clock and went above and beyond. We responded from a solid foundation, weathered the 100-year storm and emerged stronger than ever. We're at the dawn of a second wave of digital transformation and virtualization that is sweeping the world and we perform a mission-critical role in pioneering it for our clients. This new digital layer will demand increased virtual capabilities for years to come and we are ready. We have achieved the highest annual revenue growth rate in well over a decade and expect our momentum to drive a higher normalized rate of revenue growth in the years to come. Recapping the last year, bookings increased 35% to a record $659 million. Revenue increased 19% to a record $1.95 billion. Adjusted EBITDA increased 45% to a record $304 million. Non-GAAP EPS increased 70% to a record $3.82 per share. Cash flow from operations increased 14% to a record $272 million. We closed two key acquisitions and established several new high profile go-to-market partnerships. We moved 80% of our digitally-enabled frontline teams to a virtual environment and launched several new digital offerings to expand our @home platform. And we remain committed to returning a portion of our robust cash flow to shareholders via our regular semi-annual dividends, which the board has consistently raised. And we also issued a one-time special dividend in 2020. Our 2020 successes are accelerating. The virtual explosion that has taken place over the past year has increased the volume of digital interactions exponentially. This digital deluge, in concert with a growing shift towards more value-oriented human interactions is here to stay and is creating an unprecedented opportunity for TTEC. Over the past several years, consumers have become accustomed to using digital tools to acquire anything they want online. They shop for shoes, clothes, food, cars, vacations, and so much more. Everything is available at their fingertips without compromise. The past 12 months have added new conveniences to that list. Work from home, learn from home, eat from home, bank from home, exercise from home, stream entertainment from home and see a doctor from home, have gone from nice to have to must haves. These digitally-enabled experiences have become a new cultural standard. Many of which will become permanently woven into the fabric of our everyday life. Consumers expect every one of these virtual micro interactions to be simple, seamless, and personalized. If they experienced any friction along their digital journey, the competition is just a click away. Orchestrating these effortless experiences isn't easy and requires highly complex, interconnected network of cloud-based technologies, including omni-channel, artificial intelligence, machine learning, robotic process automation and advanced analytics. These proprietary technology solutions TTEC delivers coupled with our deep industry expertise across all major verticals is fueled by billions of customer interactions TTEC has delivered for the world's most iconic and disruptive brands. This ability to seamlessly integrate complex CX technology with flawless last mile execution is what truly distinguishes us from the competition. Our business is thriving because consumer expectations for the next-generation digital experiences are overwhelming client CX technologies, processes and their systems. Many of their communication channels are limited and lack the scale and agility to meet the rising demand. They need the digital horsepower and operational expertise that TTEC provides. For decades, we've been at the forefront, fueling the CX technology and services for our clients who drive the digital economy. We become the connective tissue between iconic brands and their customer experiences. Our people and our technology provide the digital glue that enables frictionless interactions across every channel. In 2020, we set bold objectives and exceeded every one of them. We added 57 new client relationships, a new record for us over a calendar year period. We advanced our cloud-based CX as a Service technology and solutions ecosystem. And we increased our capabilities and expanded our addressable market with proprietary IP, strategic partnerships and accretive acquisitions. Our announcement yesterday to acquire Avtex is an important continuation of this strategy that I'll talk more about shortly. But before we get into that, let me share some detail on new client wins. We've achieved accelerated growth during the past several years by serving two kinds of clients, multinational giants, in high growth verticals like technology, healthcare, financial services, automotive, and the public sector; and new economy players in thriving e-commerce and direct-to-consumer channels. Despite this distinction, all of these clients share a common goal, grow customer value and citizen engagement by delivering exceptional experiences across every channel. This year, we've helped these clients significantly improve their customer experiences and reduce costs by 20% to 40%, by shifting their interaction volumes from pure voice to an optimized blend of voice and digital channels. Now let me share some specifics about the growth within our embedded base. This year, we began to shift to broader longer relationships with our existing clients. We penetrated additional areas of these businesses, not previously outsourced and have established ourselves as the incumbent going forward. Surge volumes are converting to long-term reoccurring revenue contracts, especially for clients who recognize the challenges of virtualizing their operations. These clients had reached their tipping point and needed to advance their customer experience delivery capabilities, we supported them as they launched omni-channel, implemented @home and migrated their infrastructure to our cloud. By digitizing their systems, they were able to meet the increase in demand, improve their CSAT scores and build operating efficiencies. As a result, we gained additional volume commitments, not just for the next six to 12 months, but for the next three to five years. A OneTTEC offering, which we call, CX as a Service is expanding our market share in differentiation. Gartner recently named TTEC a leader in a CX Magic Quadrant, in part because of our differentiated platform. The report called our platform an innovative virtual ecosystem to integrate, orchestrate and automate CX that shifts CX to a digital-first approach. Gartner’s description of our CX as a Service platform is a great setup for a case study that I'll now describe. The client was a preexisting engaged customer who tapped into our digital services to move their business forward. We all know that the travel industry has suffered through a very difficult stretch. Our client, a leading global airline took on the challenge with a completely overhaul of their customer experience strategy and operations. Working in tandem with our design and technology teams, we helped our client re-imagine their entire digital customer journeys. Then to enable the new approach, we moved their technology infrastructure to our agile cloud-based omni-channel platform. The new platform goes live next month and will help ensure that as the airline rebuilds its business volume over the coming year, it will provide best-in-class customer experience that is omni-channel, fully digitized, future-proof and delivered at the lowest total overall cost to serve. Our value proposition is unique. We are focused exclusively on the design, implementation and optimization of seamless customer experiences across every interaction channel available. This singular obsession with customer excellence drives every decision we make and puts us in a class of our own, with an all-time record client Net Promoter Score of plus 75, the result speaks for themselves. The most well-respected brands who want to compete and win on customer centricity are trusting TTEC to deliver premium quality digital experiences for their most valuable asset, their customers. But we have more to do, the right technology is foundational to delivering on this promise. Through the development of our proprietary IP, strategic partnerships and complimentary acquisitions, our goal is to offer our clients all of the best of breeds CX technologies, fully integrated under one roof, omni-channel, AI, machine learning, RPA, automation, CRM analytics, and whatever comes next. Yesterday's announcement that we will acquire Avtex is the next strategic step towards that goal. This acquisition is transformational for TTEC and enhances our position as the global go-to-partner for cloud-based customer experience solutions. This high growth platform, more than doubles our coverage of the CX addressable market by extending our solutions into thriving mid-market. Avtex brings Partner of the Year status and top certifications from Tier 1 technology partners, including Genesys and Microsoft. They have more than 500 experienced CX engineers, data scientists, and solution architects, and serve over 1,000 clients in high growth industries. The union of our two companies will accelerate digital innovation with industry-leading IP, including API integrations, data analytics, vertical-specific solutions for fraud, cybersecurity, and automation. We are extremely excited about this bold move to accelerate our digital strength and expand our market reach. And we look forward to sharing our progress with you in the months ahead. Today, industry analyst estimates that companies are spending over $640 billion in CX tech and services. It's a split with $525 billion CX services and $115 billion in CX technology. We are focused exclusively on the market segments that are experiencing double-digit growth. On the technology front, we estimate that only 15% of the contact center market has migrated to the cloud, the mid-sized and mega institutions that we target are recognizing the need to modernize and automate their systems. Our set of capabilities is perfectly positioned to capitalize on the mass migration in motion and create significant opportunity for our growth. We see several compelling trends, on the operational side, as well – as CX delivery becomes more complex. Companies are shifting their in-house operations to outsourced partners. They're also consolidating their CX spend with fewer trusted leaders who have a solid balance sheet, innovative capabilities, stellar credentials, and deep experience to meet their needs today and position them for ongoing success tomorrow. With a client base of highly respected customer-centric global brands, they're increasingly choosing TTEC. Our unique and compelling CX as a Service platform is resulting in increased win rate. As we look to 2021 and beyond, we expect our strong financial performance to continue, supported by a record pipeline, bookings and backlog. In 2020, we were tested and we thrived for our clients in their time of need, we became an engine of the virtual economy. We broke records for bookings, revenue and profits. Today, we're better positioned than ever to continue capitalizing on our strong position and market demand. We could not have done it without our incredible employees. We've invested heavily in creating an environment where our people feel engaged, empowered, and inspired by their work. Our philosophy is simple. Happy employees make happy customers and happy customers translate into increased shareholder value. Just this past month, we were thrilled and honored to learn that Forbes Magazine named TTEC as one of the Best 500 Large Employers in America for 2020. Meeting the needs of the present without compromising the future continues to be a core value at TTEC. We believe that proactively managing environmental, social and governance issues as part of our business strategy is critical to our sustainable growth. Our ESG program is built on four pillars, including sustainable operations, diversity and inclusion, philanthropy and responsible data management. These programs are well resourced, active and vital to our future. We live and breathe these values every day. And as a result, it was a privilege to be named one of the best companies for diversity in 2020 by Comparably. I, along with our incredible management team, am excited about the path ahead. We have a powerful market forces at our back, a longstanding reputation for flawless delivery, a history of innovation, and an unrivaled customer experienced SaaS technology and services platform that is further fortified with the addition of Avtex. Today, we have all the necessary ingredients to continue to accelerate our growth and margin potential beyond 2021. On behalf of our executive team, board of directors, and our global employee base, thank you for your continued support, we look forward to updating you on our progress in the months ahead and Regina will now walk you through the key financial highlights to the quarter and year and share our growth and margin outlook for 2021. Regina, over to you.
Regina Paolillo: Thanks, Ken and good morning everyone. I'll start with a review of our fourth quarter and full year 2020 results and then provide some context on our 2021 guidance. Our sales, marketing and client executive teams delivered record new business signings in 2020. Our fourth quarter bookings were $188 million and full-year bookings were $659 million, up 57% and 35% respectively over the prior year period. In the fourth quarter, we signed a meaningful volume of new business within our existing client base and added 13 new client relationships. Bookings were most noteworthy in our financial services, technology, health care and public sector verticals. Offering highlights included our customer acquisition services, hypergrowth borne digital platform, Amazon Connect messaging and automation collectively contributing $53 million in bookings. Further, we closed nine multi-segment engagements totaling $96 million and signed 25 multimillion dollar deals. We entered 2021 with pipeline of approximately $1.8 billion, including Avtex, up 50% over the same period last year with Engage up 52% and Digital up 44%. Additionally, our revenue backlog coming into 2021 is approximately $1.9 billion, including Avtex of 20% over the prior year, excluding the large government contract and exited consulting practices. In my discussion on the fourth quarter and full year 2020 results, reference to revenue is on a GAAP basis, while EBITDA, operating income and earnings per share are on a non-GAAP basis. Please note that our non-GAAP operating income and EPS are now adjusted for stock-based compensation and acquisition related amortization expense, consistent with the definition of adjusted EBITDA and aligned with industry practice. A full reconciliation of our GAAP to non-GAAP results is included in the tables attached to our earnings press release. On a consolidated basis in the fourth quarter of 2020, revenue increased 23.8% to $571 million, of which 20.3% was organic. Adjusted EBITDA increased 46% to $92.3 million or 16.2% of revenue, compared to 13.7% in the prior year. Operating income increased 48% to $73.9 million or 12.9% of revenue, a 210 basis point improvement over the prior year. EPS increased 60.5% to $1.22 compared to $0.76 last year. Foreign exchange contributed $3.1 million to revenue primarily impacting our Engage segment, FX was negligible on operating income. Our top line growth is primarily attributable to increased volumes from existing clients, new clients and COVID-19 related amounts, which comprised approximately 15% of our fourth quarter revenue. Other highlights include 75% increase in revenue from EMEA, 26% growth rate in our hypergrowth borne digital sector, 22% increase in our auto sector, and over $10 million of revenue from digitals newly launched offerings including Amazon Connect, messaging and automation. Our improved profitability is primarily due to top line scale, an increased mix of higher margin verticals and offerings as well as lower SG&A and depreciation expense as a percentage of revenue. This was partially offset by increased investments in executive talent, sales and marketing to enable a continued expansion on our top line growth rate. For the full year 2020, on a consolidated basis, revenue increased 18.6% to a $1.95 billion, of which 12.8% was organic growth. Adjusted EBITDA increased 45.4% to a record $304 million or 15.6% of revenue compared to 12.7% in the prior year period. Operating income increased 57.9% to $242.4 million or 12.4% of revenue, a 310 basis point improvement over the prior year. EPS increased 69.9% to $3.82 compared to $2.25 last year. Foreign exchange had a positive $0.3 million and $1.2 million impact on revenue and operating income respectively, primarily affecting our Engage segments. The enablers of our full-year top line growth and bottom line margin expansion are consistent with the themes I outlined for the fourth quarter. Turning now to our fourth quarter and full year 2020 segment results, our digital segment revenue was $75.7 million in the fourth quarter compared to $82.4 million in the prior year. Operating income was $9.9 million or 13.1% of revenue compared to $13.3 million and 16.2% in the prior period. The decline is attributable to the wind down of the large government contract and the exit of non-strategic consulting practices. Digital revenue growth, excluding the large government contract and exited consulting practices was approximately 10% higher in the fourth quarter with cloud growing approximately 8% and systems integration growing approximately 24%. 2020 full-year revenue for digital was $307 million compared to $305.3 million in the prior year. Operating income was $53.9 million or 17.5% of revenue, compared to $47.4 million or 15.5%, excluding the large government contract and exited consulting practices, which comprised $91 million of 2020 revenue. Our cloud revenue grew approximately 27% and systems integration grew approximately 6%. We continue to estimate Digital's core recurring cloud systems integration and consulting revenue to grow in the 15% to 25% range, enabled by a growing market for CX technology, TTEC's growing suite of offerings availing us of an expanded addressable market, a differentiated turnkey approach to delivering a highly scalable best in breed CX ecosystem, leveraging our noteworthy channel partnerships with Amazon Connect, Cisco, Pegasystems, LivePerson amongst others. A sales pipeline including Avtex that is 44% higher in the prior year and a revenue backlog of $240 million including Avtex up 53% over the prior year, excluding the large government and exited consulting practices. Our Engage segment was outstanding. In the fourth quarter, revenue grew 30.7% to $495.3 million, of which 28.8% was organic, compared to $379 million in the prior year. Operating income grew 74.9% to $64 million versus $36.6 million in the prior year. Engage's operating income margin expanded 320 basis points from 9.7% to 12.9%. On a full year basis, revenue increased 22.7% to $1.64 billion, of which 16.8% was organic growth, operating income increased 77.5% to $188.6 million or 11.5% of revenue compared to 7.9% in the prior year. While the shorter-term pandemic related volumes contributed to our revenue growth in 2020, the majority of growth now includes longer-term embedded base and new client contracts, including a 10 percentage point improvement in client revenue retention, significant volume increases in our financial services public sector, automotive, technology and retail clients, a growing demand for our virtual and digital delivery capabilities inclusive of our Humanify Cloud @home platform. Existing client program expansions and new lines of business, both within and across our Engage customer care growth and hypergrowth borne digital sector, a growing contribution from our EMEA client acquisition platform and last, new client relationships that want a transformational partner to advance their CX strategy with outcome based integrated technology and operational solutions. Our strong Engage profit margin expansion is due to top-line scale, an increased percentage of revenue on our higher margin verticals and offerings and continued efficiency of our SG&A and asset utilization, leading to lower depreciation expense as a percentage of revenue. We are optimistic about the tailwinds impacting our Engage business, substantiated by a 14% increase in 2020 revenue backlog, 52% increase in 2021 sales pipeline and a growing footprint for client acquisition beyond North America including EMEA and Asia-Pac. I'll now share a few other 2020 measures, before discussing our outlook. At year-end, cash was $132.9 million with $396.3 million of debt, of which $385 million represented borrowings under our revolving credit facility. Net debt increased by $38.3 million to $263.4 million year-over-year primarily related to acquisition related investments and capital distributions, partially offset by strong cash flow generation. Cash flow from operations improved to $271.9 million from $238 million, a 14.3% increase over the prior year. The increase is attributable to improvement in our profitability and working capital management. DSO reached a record low of 61 days in the fourth quarter of 2020, down from 66 days in the prior year period and 63 days sequentially. Capital expenditures were $59.8 million or 3.1% of revenue for the full year 2020 compared to $60.8 million or 3.7% in the prior year. But the notable decrease as a percentage of revenue is primarily due to our focus on the improvement in our fixed asset utilization, in particular our facility and technology assets. Our normalized tax rate was 22.5% in 2020 versus 24.4% in the prior year. The reduction is due primarily to research and development credits, a reduction in our state tax rate, as well as reductions in the tax rate in certain international jurisdictions. We now anticipate our forward tax rate in the range of 21% to 24%. In addition to our regular semi-annual dividend paid in October and April of last year totaling $34.5 million, we paid a one-time special dividend of $100 million in December. These capital distributions to shareholders aligned with our long-term capital management plan of continuing to execute our strategic priorities related to market leadership and investment in organic and inorganic growth while providing early returns to our shareholders. Yesterday, we also announced the Board's approval for the next semiannual dividend in the amount of $0.43 or approximately $20 million payable on April 21, 2021 to shareholders of record on April 5, 2021. Turning to our 2021 outlook. I'll first provide some context supporting our updated guidance and then move into our financial estimates. The transformation of digital and virtual has been accelerated with a market need for speed. Our addressable market has expanded to cover the mid market, in addition to our large enterprise government and hypergrowth borne digital sector. Our client acquisition footprint has expanded with EMEA and Asia-Pac. Our offering portfolio has expanded to include Amazon Connect, Genesis, Microsoft, automation and messaging. We enter 2021 with a revenue backlog, a total revenue backlog, including Avtex of $1.9 billion, 20% higher than 2020 excluding the large government contract and exited consulting practices. Our 2021 sales pipeline at the start of the year, including Avtex is $1.8 billion, up 50% over the prior year. We have increased our investment in sales and marketing by approximately $25 million in 2021 including Avtex support, a continued, reliable and predictable double-digit organic revenue growth. Turning to the midpoint of our 2021 guidance including Avtex, as outlined in greater detail in our fourth quarter and full year 2020 earnings press release, GAAP revenue of $2.165 billion, an increase over the prior year of 11% excluding the large government contract and consulting practices exited the growth rate is 16.5%, of which 650 basis points is Avtex. Non-GAAP adjusted EBITDA of $325 million, an increase of 6.8% over the prior year and 15% of revenue compared to 15.6% in the prior year, excluding the large government contract and consulting practices, the growth rate is 22.8% of which 780 basis points is Avtex. Non-GAAP operating income of $261 million, an increase of 7.8% over the prior year and 12.1% of revenue compared to 12.4% in the prior year. Excluding the large government contract and consulting practices, the growth rate is 28.1% of which 850 basis points is Avtex. Non-GAAP earnings per share of $4.16, an increase of $0.34 or 8.9% over the prior year, excluding the large government contracting and consulting practices, the growth rate is approximately 30%, of which 940 basis points is Avtex. At the midpoint of our 2020 guidance, we estimate Avtex will contribute $120 million of revenue, $20 million of adjusted EBITDA, $17 million of non-GAAP operating income and $0.30 of EPS. Other relevant guidance metrics include capital expenditures between 3.1% and 3.3% of revenue, of which approximately 60% is growth oriented. A full year effective tax rate between 21% and 24% and a diluted share count, between $47.2 million and $47.6 million. Please reference our commentary in the business outlook section to our fourth quarter and full year 2020 earnings press release to obtain our expectations for first and second half 2021 performance at the consolidated and segment level. In closing, I could not be more proud or grateful for the resiliency, commitment, innovation and ingenuity of our diverse employee base around the world. Their contributions are the wind beneath our 2020 performance and 2021 guidance. I'll now turn the call back to Paul.
Paul Miller: Thanks, Regina. As we open the call, we ask that you limit your questions to one at a time. Operator, you may open the line.
Operator: Thank you so much. We will now begin the question-and-answer session. [Operator Instructions] First, we have our first questioner, first question comes from the line of George Sutton of Craig-Hallum. One moment sir. Your line is now open. You may proceed.
George Sutton: Great. Super results, kind of eye opening results, frankly. So Ken, I'm curious in the press release, there is a discussion about and you mentioned this on the call, a doubling of your TAM with this acquisition, I wondered if you can go into a little more detail on that and then relative to that Avtex being in Minneapolis, where I live, it's noted a very high quality organization and I'm just curious how competitive was this deal?
Ken Tuchman: Great. Well, good morning, George and thank you for the kind words. What this does for us TAM wise is pretty incredible. As you know, for the last, call it 10 or 11 years in the digital space, TTEC is really only focused on what we call the mega enterprise, so a very large governments as well as corporations in multinationals. Our sweet spot has historically been 5,000 seats, all the way up to 25,000 workstations on our cloud platform. What Avtex does for us is it opens up large enterprise, but more importantly opens up the mid-market and we pick up a 1,000 net new accounts, which for us is huge, when you look at the fact that we have about 360 active accounts are so today across both business units. So it dramatically increases our TAM, because the mid market is more than double the size of the mega-to-large enterprise size. Additionally, because they are focused on a couple of different platforms, it basically ensures that we are at the table on any major deal that comes across the globe, as it relates to CX transformation, because if you look at the market share that AWS Connect has, which is growing very rapidly that Cisco already has is an embedded base and that Genesis has, which is growing very rapidly right now. It's suffice to say that that's where the majority of all the large enterprise business is going – it is also – they're also now benefiting from the higher end of the mid-market. So this really opens up the aperture for us, where it's not only excited about that aspect of it. But we've always wanted to be a Microsoft partner, we think that the dynamics platform is one of the most popular platforms out there next to sales force and these guys have built some incredible applications, not only on the dynamics platform, but on Microsoft's analytics platform using machine learning and AI and were building a very significant machine learning AI practice across everything we do, whether it be conversational messaging, whether it be chatbots, whether it be data analytics, whether it be agent assist, et cetera. So it's a welcome opportunity for us to pick up all these very talented engineers that span across these incredibly successful partners.
George Sutton: I know Ken, I was limited to one question, but my most important question is actually for you, I'm curious what kind of wine do you drink to celebrate those kinds of results?
Ken Tuchman: Well, so far – the last – right now, what I drink is whatever helps me go to sleep, because we have all been up around the clock. So lately, it's been more a little bit of tequila than wine. But certainly, we will be – we will be celebrating. We need to take a bit of a 30-second breath before we move on. You asked a question about whether the process was competitive. The answer is, it was very competitive and truthfully, you'll have access to the management of Avtex, I think what won the deal was not only that we were competitive in our price, but more importantly, they loved our culture and they did their homework and they checked us out and they love the management and just kind of how we treat people et cetera and I think they felt more comfortable with our culture than any of the other opportunities.
George Sutton: Super. Thanks guys.
Operator: Thank you for that. The next question comes from Mike Latimore of Northland Capital Markets.
Mike Latimore: Great. Yes, thanks. I think that's a spectacular year, great execution there. I guess just on Avtex, just to be clear, how many months of revenue are you including the 10 months here and then second, this company historically has been a lot more I guess technology oriented than your typical consulting firm or SI. So I guess, yes. One, how many months of revenue? And two, what does their revenue model look like, how much is recurring versus professional services that sort of thing.
Regina Paolillo: Yes. So we've assumed that we clear anti-trust and we operate together as of the beginning of May and then they have about 60% recurring revenue and that will – should grow as they too are focused on cloud-based, predominantly cloud-based subscription-oriented services.
Mike Latimore: Great. And then, Regina, you mentioned that, you said 15% of revenue I believe in the fourth quarter was COVID related, I guess you've done a great job of converting prior deals like that to long-term, I guess, how should we think about those customers and longer-term visibility there?
Regina Paolillo: Yes. So, kind of as we indicated off of our Q3 earnings call, most of that business has been converted to longer-term business and so what we would probably see and I think you figured this out, when you look at the press release and look at what revenue is in our first half, second half is we probably have a dip towards Q4. Well, we have a dip towards Q4 in our estimates right now, but we continue to see whether it's the states or the banks, we continue to see a re-up of those contracts that I personally don't have any concern that COVID volumes are a challenge in 2021 and given our pipeline and the lion's share of that pipeline that I've been talking about is non-COVID. We feel that momentum we have in 2021 allows us then to move through, earn through if you will any COVID business in 2021.
Mike Latimore: Okay. Excellent. Good luck this year.
Regina Paolillo: Thank you.
Operator: Thank you so much. The next question comes from Maggie Nolan of William Blair. Your line is now open. You may proceed.
Maggie Nolan: Thank you. If I could just build up on that last question there, it seems like you're getting great traction, the more permanent volumes are coming. So what is the normalized long-term growth rate for the Engage segment and is it structurally higher than it was in the past?
Regina Paolillo: Yes, when – In Q3, we talked about moving it from – we moved it from 3% to 5% to 5% to 7%. Our view now in 7% to 9% and our hope as we leveraged both organic and inorganic investment is that Engage is on its way to a double-digit organic growth rate.
Maggie Nolan: That's really helpful. Thanks. And then, you've talked about various partnerships, exciting to bring Microsoft on, can you give us a little bit of an update on your progress with some of these other partnerships, Cisco how some of the transition of those customers to your cloud solution is tracking versus your expectations, anything on LivePerson or any other partnerships of note?
Ken Tuchman: Yes. We're very happy with the partnerships and how they're moving forward and we're really kind of double-down – doubling down and putting a lot of energy into all of them. What I would say is that depending upon the partnership and what – where we are actually focusing, whether it was a massive transformation which, some of which gotten a bit delayed by COVID and people just said let's deal with you helping us get our agents at home or helping us with all this onslaught of volume by automating some of the volume with conversational messaging, et cetera. So it's what I would say is that we feel very good about all the partners that we've selected and we feel really good about the momentum and the leads that are coming from those partners. But I would also say that we are adding so many partners and there'll be more announcements to come of additional partners that we really have just kind of made the decision that we are not going to get into the specifics, because the dilemma that we are facing is that some of these companies – so many of these companies are now public or about to go public and we have every analyst calling us up, trying to do channel checks on them and we basically agreed with the CEOs of these companies that we are going to not go there, just to make it easier for them as well. So I apologize if I'm not giving you all the information that we would like, but I'm sure you can respect the situation that we're in with so many of these companies being public right now. We're excited about a lot of the energy that's being invested by our partners into adding new technology. They are taking a lot of direction from us of where we see the market going and capabilities and features that they need to add. I can tell you that there is not a single company that we're partnering with right now that is not viewing CX, as one of their very most important areas to invest in, we're not just a standalone CX focused company and so consequently, they are dramatically stepping up their investment in this space because they really want to own the market. And so that's good for us. It's good that they are spending more money on sales, more money on marketing, and we think that we become the beneficiary as long as we continue to deliver for them and satisfy their customers. Again, I just want to stress Maggie that each one of these partners are really just a piece part in the overall solution that we're offering, I mean we're providing a very broad set of front, middle, back-office capabilities that are totally orchestrated. And so whether it's a omnichannel routing solution that's then tied to a case management solution with Pega that's then tied to a robotic process automation solution with an Automation Anywhere et cetera. These are becoming very complex deals, which is exactly what we want and that's what keeps them reoccurring in nature.
Maggie Nolan: Got it. Thanks, Ken. Thanks, Regina. Congrats on the quarter.
Ken Tuchman: Thank you very much.
Regina Paolillo: Thank you.
Operator: Thank you so much. The next question comes from Bryan Bergin of Cowen. Your line is now open. You may proceed.
Bryan Bergin: Hi, good morning, hope you're all doing well. I wanted to start on the margin, so looks like Engage exited much stronger here in 4Q, the Digital did tick down versus the run rate you had over the first three quarters. So you can you first talk about the drivers in each of the segments there? And then for 2021, is the absence of the large federal contract a reason for the step down in digital EBITDA margin or is it Avtex, just any color you could provide there?
Regina Paolillo: Yes. Great. So just from a Q4 point of view really for Engage, it relates directly to volumes. We continue to say on another $75 million to $100 million of revenue, we are going to get another $75 to $100 basis points of margin expansion. And so, it's just a function of the leverage that we have in volumes. On Digital, what you're seeing is the large government contract step down in the fourth quarter and ended by the end of the year. And so, it's really those volumes out of our top line that affected the bottom line. However, and this is a segue into 2020. We did not hesitate in the fourth quarter to begin to execute incremental marketing activity as well as to start to build greater number of sales people. In particular, in areas like global accounts, health care, public sector, financial services, and TTEC as well as we continue to invest in EMEA in CDAP as an important contributor to our top line growth in 2021 and on. So the – what you're seeing in digital in terms of the step-down is a couple of things. One, we do have significant acquisition. We have significant external fees that are in our numbers, we have cost of integration, we want good pace and speed of that integration. And then last but not least, as I mentioned in my comments, we've invested on the core side, I'm sorry a little bit of it is Avtex, but we've invested another $25 million in sales and marketing with the intent of ensuring that to Maggie's question earlier, we are getting, not only in Digital, but Engage as well that organic growth rate reliably to the high, high-single digits, low double-digits.
Bryan Bergin: Okay. Thank you. That's helpful. And then just on Avtex, can you give us a sense on what the average client size in seats that they are serving, I'm just curious where that cut off is on the mid-market level, and as you expand further into the mid-market, how does that impact your strategy around the CCAS technology platforms that are generally serving that SMB segment.
Ken Tuchman: I'm not sure I'm fully understanding your question, you're asking what the cut out – where, how do we define mid-market?
Bryan Bergin: Yes.
Ken Tuchman: And where is our target focus going to be?
Bryan Bergin: For that mid-market, so versus the high enterprise that you've traditionally served, but where is that the average size for Avtex, and then does this also opening you up to other technologies, too?
Ken Tuchman: That's a great question. I'm actually really glad that you're asking it, because I think there is so much confusion with the smaller OEMs that call enterprise, small-medium business, what we classify as small medium business. So I would say there's a sweet spot of where Avtex has done just tons and tons and tons of deals, kind of is in that 250 to 750 workstation range of cloud SaaS-based range. That said, they've also done many installations that are well above that. But they're really hunting in that very kind of significant space that's 250 to 750. They are not interested in really going below that. They are going to leave that for the others that want to do kind of a – that don't really require all the complexities that go into a company that has 250 to 750 workstations. So, does that help you as far as their sweet spot? And then if you then look at traditionally, where core – our TTEC core digital has been, it really has been focusing on a minimum of 750 and going up. And so we see this is just an really a perfect fit, they've got a brilliant sales organization, they've got fantastic organic growth, and so we take their organic growth and their sales organization, coupled with our large enterprise organization and we really think that we've got far, far better coverage in the marketplace than we historically had.
Bryan Bergin: Okay. Thank you. Just a quick clarification I don't know if that you had in the script, did you say the size of Avtex, the cost and the funding plan?
Ken Tuchman: We did not, but it will be an all-cash transaction.
Bryan Bergin: Thank you.
Operator: Thank you so much. The next question comes from the line of Joseph Vafi of Canaccord. Your line is now open. You may proceed.
Joseph Vafi: Hey guys, good morning. Terrific results. Just I was wondering if you could maybe further park the growth in Q4, maybe any call outs there if it's by vertical, by geo, anything there would be pretty interesting. And then a follow-up.
Regina Paolillo: Yes. So from a vertical perspective can afford the quarter and the year, its financial services, healthcare, public sector, tech and e-tail, so retail, but E part of that primarily. We continue to see significant growth in our hypergrowth kind of borne digital sector. EMEA is as I just said making an important contribution and I would say these – so for example in Q4, we had that nine multi-segment deals that we closed, representing $105 million of the $180 million that we closed in Q4. So the other theme, right, that is not just in the bookings for Q4, but is within TTEC is a larger number of combined TTEC Digital and Engage with our clients.
Joseph Vafi: Okay. That's helpful. And then I know you've made some good traction in EMEA in 2020. I know you've mentioned a few times here on the call. Are there any specific call-outs in terms of wins in Q4 or is it just more of a building pipeline in EMEA right now, still?
Regina Paolillo: Yes, I mean, it's a building pipeline kind of across verticals. Fortunately, over the last couple of years, we've made an investment there and we got to build EMEA with a digital-first strategy. So given our size and the kind of recency in which we're in the market for customer client acquisition, we got to form that business in as OneTTEC. And so I would say, the thing that's noteworthy is our advantage there is to lead with digital. And now that we have Genesys, which has got huge market share in Europe, we see that further propelling not only digital, but our ability to win – improve our win rate on the Engage side.
Joseph Vafi: Okay. And then just a couple on Avtex, I'm not sure if you mentioned their margin structure versus the rest of your digital business and how is their footprint ex-U.S. And how does that look as an opportunity for you kind of, maybe more in that mid-market?
Regina Paolillo: So we – I would say that digital on both sides, the core digital and then Avtex share, what I call, 18% to 22% EBITDA margin – adjusted EBITDA margin. Obviously on the TTEC side, a little bit of a shift down, given that large government contract and the exiting practices took as I named in the script about $91 million of revenue in 2020 that is not there in 2021. And so, again, any time, volumes drop at that level, the margin job drops, but in particular, because we didn't reduce the sales and marketing of our SG&A. We actually are invested more. So while we have a dip a bit this year, we expect that by the fourth quarter to be back in that 18% to 22% range, depending on the component of digital.
Joseph Vafi: Great, and does Avtex have an EMEA footprint at this point?
Regina Paolillo: So, on the footprint, today they have a North America footprint, U.S. and Canada. And as I said, we have early plans to ensure that we leverage that in the regions that we're in already, EMEA and Asia-Pac, to be able to light up that offering there as well in short-term.
Joseph Vafi: Right. And then maybe just one final high level question on Engage, we're sitting here in early March and large enterprises are getting their plans together for 2021. Any change in their views of in-source versus outsource, clearly 2020 was transformational and moving a lot more TAM to the outsource bucket. Is there any shift versus 2020 that you're seeing either positive or negative there? Thanks a lot.
Ken Tuchman: I think if you refer back to some of my comments, I kind of inferred that, that what we're seeing is, there's close to – according to third-party analyst, not us, $300 billion worth of captive in-sourced Engage. And then there's still a significant amount of in-sourced technology. We are definitely seeing more and more of the large companies, for lack of a better term, wave the white flag and start shifting volumes, very large volumes of their captives for multiple reasons. One, they didn't know how to do @home, two, they didn't have – they don't really have the right technology platform. And three and I don't want this to sound like we're bragging, but we typically well outperform our clients internal sites on all metrics on CSAT, on Net Promoter Score and on cost to serve. And so they can only do it so long and have this variance until if they're not willing to move it, their senior leadership is saying, why are we doing this? So we are definitely feeling like the trend going forward is going to be more and more of these captives that are going to be outsourcing far more business. So if you look at the overall amount of business that's been outsourced, if you look at the pie, it's really only about 30% that's been outsourced. I think you're going to very comfortably see that move to 50% over the next few years, not five years, but few years. And I think that's going to be great for us. And I think it'll also be great for others who benefit from it. And the other thing that I just want to stress that I think the Wall Street, maybe isn't fully paying attention is, as all these companies become more customer-centric, they become more accessible. Historically, it was common to go to a client's website and you couldn't even find an 800 number or a way to communicate with them because they really didn't want to communicate with you. Now, they're realizing that that's the bane of their existence and the way that they actually sell more services or more products, et cetera. So the interaction volume is exploding across all of these companies, as they provide more routes, more channels for their customers to interact directly with them. So I think that there is multiple areas that are going to drive wind to our back, A, what you just asked the question about, of captive starting to transfer more business to partners such as ours. And B, just the mere explosion of all the new channels and how people want to communicate. C, the fact that people want to have – they want to be able to communicate in the moment, whether it be text, whether it be chat, whether it be conversational messaging, while they're in the store asking a technical question about a product, et cetera. I can't tell you how many interactions we're now receiving. While people are actually in bricks-and-mortar and on their phone, they're asking a question about a TV or about some policy that they want to purchase, et cetera. In many cases, because they don't feel confident that the retail salesperson has the information so they go directly to the manufacturer or the service provider who we're representing, and we're giving them the real-time information to give them the confidence to actually purchase that product or service. I hope that helps.
Operator: Thank you so much. The next question comes from the line of James Faucette of Morgan Stanley. Your line is now open. You may proceed.
Jonathan Lee: Hey, this is Jonathan on for James. Congrats on the quarter and the acquisition, Ken and Regina. What's your appetite for existing acquisitions over the course of the year, and what would those acquisitions be focused on?
Ken Tuchman: The question is for you, Regina. I'm happy to answer, but go ahead.
Regina Paolillo: The acquisitions?
Ken Tuchman: Yes, he said, what's our appetite, I mean, we clearly have an appetite for additional acquisitions.
Regina Paolillo: Yes. I mean, it continues to be a part of our strategy, to grow the business. And it's balanced between digital and Engage and from a digital perspective, it's continuing to make sure that we have the best and most relevant technologies, from a CX point of view. And as well as scale, the practice areas that we have to do – we have today and extend that scale, not just in the U.S. but outside of the U.S. So acquisitions that kind of hit those three points, are on top of our list from an Engage point of view, we continue to look primarily, I would say at offering based, client-based and regional based acquisitions, to continue to fill out our offering, as well as, build locations like Europe to significant scale.
Jonathan Lee: Helpful. Thank you.
Operator: Thank you so much. The next question comes from the line of Josh Vogel of Sidoti. Your line is now open. You may proceed.
Josh Vogel: Thank you. Good morning, Ken and Regina, certainly impressive results in light of everything going on out there. I had a question around the Humanify Cloud @home offering. What is the target number of users that you have for this year and longer term, and understanding it's an ongoing and fluid situation, but just thinking about the cost structure of the business, how are you thinking about the real estate strategy today and as the year progresses?
Ken Tuchman: So I apologize, Josh, I'm a little confused when you mentioned real estate, but then I thought you said number of users. So can you help me with that a little bit?
Josh Vogel: Sure. First, with the Humanify @home offering, you had an announcement that you had enabled 100,000 users that was back in November. I'm just curious what your targets are for this year and longer term. And then I was just thinking about the virtual versus brick-and-mortar footprint.
Ken Tuchman: All right. So why don't we start with that? First of all, we are constantly sampling our customers and asking them where they would like to be in whatever is going to be this post-pandemic year, which frankly I think is difficult to predict right now. But what I would say is, we believe that somewhere in the 35% to 40% of our Engage workforce will more likely than not be asked to continue to work from home. We also believe that on a go-forward basis, those who potentially work in our bricks-and-mortar will be working in more of a hybrid environment. Additionally, we have from a real estate standpoint, been very proactive. We frankly saw this pandemic coming in January. We didn't wait till March, which is why we were able to so quickly transition our employees and our management was ready for it. And we have already shedded thousands of workstations – of bricks-and-mortar workstations, so that we can ensure that we're not carrying too much excess real estate since there's so much demand for our @home capability. Does that help you answer your question?
Josh Vogel: Yes, definitely. Thank you. And just going back to a comment that Regina had, or the prior question around M&A activity and the appetite there. Understanding that, with digital, you still want to look for the best and most relevant technologies from a CX point of view. But Ken, in your comments, you mentioned that you had all the ingredients in place. So as things stand today, do you feel that your digital portfolio, your CX platform is where you want it to be? Or are there any small gaps that you still are looking to fill?
Ken Tuchman: Well, I'm kind of known to be constructively discontent, so it will never be where I want it to be, no matter how good it is. So what I would say to you is the following. We're going to – we will – so I'm a big believer that when we tell The Street, we're going to do something that we actually execute on it instead of, just simply saying it. And whether it be that we said we were going to purchase our stock back and we purchased almost half the float, whether it be that we said we were going to pay a dividend and we've consistently increased the dividend, or whether it be that we said that we were going to do acquisitions and we've done many acquisitions. And our goal is to maximize shareholder value. So what we see is the opportunity. We made a commitment to The Street over the last 12 months. We said our goal was to get to $0.5 billion in digital, in a three-year period of time. I think The Street as of today now knows that we're beyond dead serious and that we're well on our way to the $0.5 billion, because we're really almost already there for digital. So at some point, we'll be updating that guidance of what our future goals are of where we'll be taking digital, but suffice to say, we think digital over time can become $1 billion business, based on the organic growth rate and potential acquisitions as to where we do acquisitions. I think that we want to get stronger in other geographies with what it is that we do. And we want to continue to keep building out our AI, machine learning and RPA practice. And we want to be recognized across the globe as the experience company and that you come to us when your goal is to have the best customer experiences. And so now's not the time to get into all the projects that we're involved with, but what I can tell you is that companies are coming to us and asking us to help them truly reinvent their experience. And so it starts with strategic consulting and then it turns into journey mapping, and then it turns into converting that to the technology and then getting the technology onto our SaaS cloud. And then if they're interested, of course, us providing them with the operate and execute capabilities. We truly believe that we realize others claim may have technology that have outsourcing capabilities, but the data speaks for itself. Our client references speak for itself. We don't consider tuning someone's IVR as having technology. And we really don't see anyone that has our level of technology capabilities in the CX space as it relates to providing a best of breed cloud solution. And we also don't see anybody that has our quality of execute capabilities on the Engage side. And we think when you combine those two as a OneTTEC offering, we think it's very powerful and more and more people are realizing that they cannot win market share of these large companies if they don't have the best customer experiences. So more and more of our conversations are no longer just with CIOs, but they're dramatically shifting to the CEOs and the Chief Customer Officers and the Chief Digital Officers and the Chief Marketing Officers who are being instructed by their board, that they've got to get their Net Promoter Score up and they have to focus solely on the customer experience, the ownership experience, et cetera. The other thing is that we take a very different approach in how we justify our services. Many of the competitors out there are focused on, who's got the cheapest price per minute or per hour or whatever that just doesn't resonate with our audience. Our audience cares about what does it cost to actually acquire a customer? What does it cost to serve a customer? What does it cost to grow a customer? And so everything we do is all about customernomics, so that a CFO of a sophisticated corporation can understand how to variabilize their cost versus just treating it as a time and materials type expense center. And so I think that the epiphany that's taking place in the marketplaces, this is – A, a must have, it's no longer a convenient. And B, it's the only way they're going to make it across the river if they digitally transform. And we believe that it's much more efficacious. If they work with one organization that understands what the customer needs, because we have deep domain expertise of the vertical, but also understands what the brand ambassador needs and the tools that they need on their desktops, so that they can do their job. We think when you couple those two things together, you get a terrific experience.
Operator: Thank you for your question. That is all the time we have today. I'll now turn the call back to Paul Miller. Sir, you may proceed.
Paul Miller: Yes. Thank you everyone for your participation. This concludes our call today.
Ken Tuchman: Thank you.
Operator: This concludes TTEC's fourth quarter and full year 2020 earnings conference call. You may disconnect at this time.